Operator: Good day, ladies and gentlemen, and welcome to our Second Quarter 2014 Mettler-Toledo International Earnings Conference Call. My name is Pete, and I'll be your audio coordinator for today. [Operator Instructions] I would now like to turn our presentation over to your hostess for today's call, Ms. Mary Finnegan. Please proceed, ma'am.
Mary T. Finnegan: Thanks, Pete, and good afternoon, everyone. This is Mary Finnegan. I'm the Treasurer and responsible for Investor Relations at Mettler-Toledo. I'm happy that you're joining us today. I'm joined here by a Olivier Filliol, our CEO; and Bill Donnelly, our Executive Vice President. I've just one quick comment before I do the Safe Harbor. We're doing this call today from China. We've been here this week, and over the course of the week, we have experienced a dropped phone line once or twice when we're doing conference calls. I wanted to mention it because I hope it doesn't happen. But in case it does, just sit tight and the operator will work to reconnect us as quickly as possible. Let me just do a couple administrative things. This call is being webcast and is available for replay on our website. A copy of the press release and the presentation that we will refer to on today's call is also available at the website. Let me summarize the Safe Harbor language, which is outlined on Page 1. Statements in this presentation, which are not historical facts, constitute forward-looking statements within the meaning of the U.S. Securities Act of 1933 and the U.S. Securities Exchange Act of 1934. These statements involve risks, uncertainties and other factors that may cause our actual results, levels of activity, performance or achievements to be materially different from those expressed or implied by any forward-looking statements. For a discussion of these risks and uncertainties, please see our recent form 8-K. All of the forward-looking statements are qualified in their entirety by reference to the factors discussed under Factors Affecting Our Future Operating Results and in the business and management discussion and analysis of financial conditions and results of operations in our Form 10-K. Just one last item. On today's call, we may use non-GAAP financial measures. More detailed information with respect to the use of and differences between the non-GAAP financial measures and the most directly comparable GAAP measure is provided in our 8-K. I will now turn the call over to Olivier.
Olivier A. Filliol: Thanks, Mary, and welcome to everyone on the call. As Mary mentioned, we are making the call from Jiangsu, China, as we just completed a week-long visit, including management meetings and our board meeting. I will also visit some of our other Asian locations in the course of next week. I will start with a summary of the quarter and then Bill will provide details of our financial results and guidance. I will then have some additional comments on 2014, including some thoughts from our China visit. And as always, we will have time for Q&A at the end. The highlights for the quarter are on Page 2 of the presentation. Local currency sales increased 4% in the quarter, with good growth in Americas and solid growth in Europe. We are pleased to have modest sales go in China, and Asia was in line with our expectations. Similar to what we saw in the first quarter, due to the benefit of various cost control and margin initiatives and despite negative currency headwinds, we generated good growth in earnings per share. Let me turn it to Bill to provide more details on the financial results and an update to our guidance for the year.
William P. Donnelly: Thanks, Olivier, and hello, everybody. Let me start with additional details on sales, which were $608.8 million in the quarter, an increase of 4% in local currency. On a U.S. dollar basis, sales increased 5% as currency benefited sales by 1% in the quarter. Turning to Page 3 of the presentation. We outlined sales by geography. In the quarter, local currency sales increased by 5% in the Americas, 3% in Europe and 3% in Asia/Rest of World, all as compared to last year. Without the impact of exited product lines, sales in Asia/Rest of World increased by 5% in the quarter. For China specifically, local currency sales increased by 2%. And excluding exited product lines, sales in China increased 6% in the quarter. The next slide provides details on first half sales, which increased by 4% in local currency. For the 6 months, sales increased 4% in the Americas, 6% in Europe and 2% in Asia/Rest of World. Asia/Rest of World had a sales increase of 4% if you exclude the China exited product lines. Sales growth by product line for the quarter is highlighted on Slide #5. Laboratory increased by 6% in local currency, while Industrial increased by 3%. Adjusting for China product line exits, Industrial sales increased by 5% in the quarter, while food retailing was down 1% in the quarter. For the 6-month period, which you see on the next slide, Laboratory increased by 6% in local currency and Industrial increased by 2%. Adjusted for China product line exits, Industrials would have increased by 3% in the first 6 months of the year. Food retailing is up 3% year-to-date. Now I'd like to turn to Slide #7 and walk you through the key items of the P&L. Our gross margins were 53.9%, a 50-basis-point increase over the prior year margin of 53.4%. We benefited from pricing and lower material costs, which were offset somewhat by unfavorable currency as well as mix. R&D amounted to $32.1 million, a 7% increase in local currency. SG&A amounted to $183.1 million, which is an increase of 3% in local currency. Increased sales and marketing costs and higher variable compensation were offset by cost-savings initiatives and lower employee benefit costs. Adjusted operating income amounted to $112.9 million in the quarter. That represents a 6% increase over the prior year amount of $106.4 million. Our operating margins were 18.6%, an increase of 20 basis points over the prior year. We estimate currency reduced operating profit by $2.3 million in the quarter. Without this impact, operating profit would have increased 8% and operating margins, 80 basis points in the quarter. A couple of final comments on the P&L. Amortization amounted to $7.3 million in the quarter, while interest expense was $6 million-even in the quarter. Our effective tax rate continues to be 24%. Fully diluted shares for quarter were $29.8 million, which is a 3.6% decline from the prior year, reflecting the impact of our share repurchase program. Adjusted earnings per share were $2.57 per share, an increase of 9% over the prior year amount of $2.35. Currency reduced adjusted EPS by approximately 2.5%. On a reported basis, EPS was $2.49, as compared to $2.24 in the prior year. Reported EPS included pretax restructuring charges of $1.9 million, or $0.05 per share, which is primarily employee-related costs. Reported EPS also includes $0.03 of purchased intangible amortization. The next slide provides details on our year-to-date results, which are similar to what you had in the quarter. Specifically for the 6 months, local currency sales increased by 4%, operating profit is up by 6% and adjusted EPS increased by 9%. For the 6-month period, currency reduced EPS by about 3.5%. Now turning to cash flow. Free cash flow in the quarter amounted to $95.7 million, a 22% increase over the prior year amount of $78.2 million. We are pleased with the strong cash flow, which benefited from good working capital management, offset to a degree by higher tax payments. Working capital statistics were solid in the quarter, with ITO at 5X and DSO at 43 days. On a year-to-date basis, free cash flow is $129.7 million versus $87.8 million in the prior year. One additional comment on our balance sheet before turning to guidance. You saw in our June 8-K filing that we entered into a $250 million worth of fixed rate financing. One half of this financing will be funded later this quarter, and the remainder will be funded next year to coincide with the maturity of an existing fixed rate note. We wanted to take advantage of what we view as attractive rates to increase the percentage of our fixed-rate debt. Although the long-term rates are very attractive, the financing is about $0.025 dilutive to EPS this year. Now let's turn to guidance. Market conditions are about the same as we compared -- as compared to the last time we spoke. Conditions in the west a relatively solid, although we based tougher comparisons for Europe for the remainder of this year. Asia should continue to improve. Maybe some more about China specifically: We see our business here as generally on track with our previously described expectations. While sales growth in China was a bit better in the quarter than we expected, we still remain cautious on the region given the overhang in certain segments. As economic growth here continues, the overcapacity in certain segments will diminish and we expect to see more investments in new plants and new lines. While we see some signs of an improving investment climate, the return to the strong growth levels of the past is not yet on the immediate horizon. We expect China sales to be up modestly in Q3 and Q4, principally due to easier comps. As a reminder, we estimate exited product lines will reduce local currency sales by about 2% in China for the full year. So in summary, we're estimating mid-single-digit growth in China in the second half, adjusted for exited product lines. In terms of other emerging markets, microeconomic conditions in China -- or, sorry, in Russia are very weak. Brazil and India had good results in the quarter and are performing well. Given this outlook, we're making no change to our full year expectations of sales growth of approximately 4% for the year. We are also maintaining our current full year EPS guidance. Specifically, we expect adjusted EPS to be in the range of $11.45 to $11.60, which is a growth rate of 8% to 10%. This is in the same range as we provided last quarter. For the third quarter, we would expect local currency sales growth to be approximately 4% and adjusted EPS to be in the range of $2.82 to $2.87, or a growth of 8% to 10%. As you're updating your models, let me cover some specifics on guidance. First, currency. We would expect currency to have no impact on sales growth in Q2 and reduce sales growth by approximately 1% in Q4. For the full year, we expect to have no impact from currency on sales. In terms of the impact of currency on earnings, we would expect currency to reduce earnings growth by approximately 1% in the third quarter and be slightly negative in the fourth quarter. For the full year 2014, currency is expected to reduce earnings growth by 2%. Okay, one final comment regarding models. With our Q3 guidance and full year guidance, you will likely be updating your Q4 numbers too. One question you may have is why we are maintaining our guidance range although we exceeded our guidance for the second quarter. We have 2 factors weighing on this. The first, as already mentioned, is we have this $0.025 headwind in Q4 due to long-term debt to be added via the private placement; and second is that given our expectation of a better growth environment next year, we are investing in some front-end resources in the second half. Our field turbo program, as we refer to it internally, has been discussed with you in the past. As a reminder, these are additional sales and service personnel to capture specific growth opportunities. As I look at the development of these turbo programs, we'll see higher expenses associated with them in the second half of this year, particularly in the fourth quarter. While this will help position us well for next year, we recognize the additional cost, our drag this year, as salesmen take some time to become fully productive. These 2 factors highlight why we didn't increase our guidance despite the beat this quarter. Okay, that's it for my side and I want to turn it back over to Olivier.
Olivier A. Filliol: Thanks, Bill. Let me start with summary comments on business conditions. Lab increased 6% in the quarter, with good growth in balances, Pipettes Analytical Instruments and Process Analytics. Automated Chemistry was down in the quarter due to timing as the order entry was good and the outlook for the remainder of the year is quite positive. Industrial increased 3% in the quarter. Product Inspection had good growth, while Core Industrial was consistent with the prior year. As expected, retail was down slightly in the quarter. Now let me make some additional comments by geography. Europe had sales growth of 3% and most countries reported growth, with the exception of Russia, which was down double-digits. While we faced more challenging comparisons in Europe for the remainder of the year, I'm pleased with how well we are competing in this region. Our strong product offering combined with our Spinnaker sales and marketing initiatives are principal factors contributing to our solid performance. Americas increased 5% in the quarter. We have good growth in Lab and Product Inspection. Core Industrial was down slightly against strong comparisons from the prior year. Retail was also down in the quarter. Asia/Rest of the World increased 3% of the quarter. Let me now make some additional comments on China. Market conditions are developing as expected, and our business continues to be on track with what we outlined last year as expectations for this year. Specifically, our core laboratory instruments and our Product Inspection business continues to do very well, with growth in the double-digits range. Similar to what we experienced in the first quarter, Process Analytics was impacted by new GMP regulations surrounding water purity that went into effect last year and, as a result, was down double-digits. Finally, Core Industrial increased 3%, adjusting for the exited product lines. You heard from Bill that we expect to have growth in China for the remainder of the year. While we will benefit from easier comparisons, we are also making good progress on resource prioritization and reallocation to segments of the market where profitable growth exists. We are leveraging our Spinnaker sales and marketing tools to identify potential customers and then design sales and marketing strategies to penetrate these segments. We remain convinced about the long-term potential of this market. Our product portfolio is well positioned to benefit from many evolving trends in China, including the increasingly prosperous consumer, the many graduating scientists, the government's efforts to move up the value chain in manufacturing and the increasing focus on product quality and consumer safety throughout the economy. Specifically, our Laboratory, Process Analytics, Product Inspection and certain segments in core industrial all remain very well positioned to capture growth arising from this trend. One additional comment on our quarterly results before I cover some additional topics is Service. We had good growth in the quarter, with Service revenue up 7% as compared to the prior year. We had good growth in all geographic regions and in most product lines. We continue to benefit from our investments in Service, which I covered with you last quarter. Now let me turn to some product innovations, which continue to reinforce our market leadership. I have a couple of examples from our laboratory offering, starting with our new family of premium-end pipettes. Under the umbrella name of XLS Plus, these pipettes that's have our proprietary live touch system, which have an ergonomic focus by reducing the force of pipetting. Highly regulated customers who are sensitive to security issues and high throughput labs are prime customers for this instrument. While we already lead the market with our ergonomic technology, we have further enhanced our offerings in several ways. For our single-channel instrument, an improved ceiling system provides greater ergonomics and improved results, particularly, with more delicate experiments. The instrument can also address more customers due to its new sterilization capability. Our new high-volume multichannel instrument is smaller, at 25% lighter, and, therefore, provides greater productivity, accuracy and fewer handling errors. Finally, we have a new software system for our electronic pipette, which provides easier use, greater accuracy and better security. This allows customers to more easily adhere to their standard operating procedures and good laboratory practices. We now have an entire XLS Plus product offering with an attractive and modern design. Initial customer reception is positive, and we have an extensive marketing campaign that is supporting the launch. In addition to customer benefits, the new product line will also reduce manufacturing cost. Our pipette business remains very attractive, with solid growth dynamics, good margins and nice Consumable and Service stream. We also have some new offerings at our pH business. For those of you that attended our Investor Day last July, we demonstrated our high-end bench pH meters known as SevenExcellence. We are strengthening our market position with the launch of a new portable pH meter, the Seven to Go (sic) [SevenGo]. The instrument's simple menus and navigation can shorten measurement time and the new status light helps to ensure the quality of the ongoing measurement. The Seven to Go's (sic) [SevenGo's] ergonomic design provides utmost handling comfort and the graphic display allows operation even under difficult lighting conditions. Productivities further enhanced through our proprietary intelligent central management system that reduces overall errors and speed workflows. Finally, we have developed specific kits for several industry segments, which includes a meter, sensor and accessories, making it very easy to use for our customers. In order to further extend our pH offering, we also recently launched a more basic version of a bench-top instrument to penetrate emerging markets. The product has less features and models and its attractive pricing meets the needs of price-sensitive customers in our emerging markets and indirect distribution channels. The instrument's inherent intuitiveness and the ease-of-use make it an ideal for telesales. To further minimize overall cost, the market introduction, marketing and product training is heavily centered on the vet [ph]. These 2 introductions are examples of how we are leveraging our market positioned in pH to garner more market share. Our business is very solid, with good growth dynamics, attractive consumable stream and strong margins. We also continue to make great inroads with our Automated Chemistry offering. Over the last few years, we have worked with a large pharmaceutical customer to develop and implement their vision for the lab of the future. The lab is focused on sustainably decreasing time-to-market for new medicines and increasing the overall R&D productivity by automating many elements of process development. This is the step in drug discovery and scale up process in which the pharma company is trying to determine how most efficiently and safely a drug can be mass-produced. Because it is at the end of the entire drug discovery process, the quicker it can be developed, the sooner the drugs can be launched. Although under tremendous time pressure, most pharmaceutical companies lack a standardized automated approach to process development. The lab of the future incorporates our automated lab reactors, in situ probes and a common software platform to standardize and automate the entire process. We have successfully rolled out our solution in the initial pharma company, and several other companies are now introducing it to their organizations. We are very pleased with this development, which reinforces our leadership in this business. Let me make a couple of concluding remarks before I open it for questions. We remain cautiously optimistic in our Western markets with an acknowledgment of profit comparisons on the horizon in Europe. We're executing well and believe we can continue to capture growth opportunities in these regions. Emerging markets, in particular China, are developing mostly as expected. While certain core industrial segments are weak, we see good growth potentially in our Laboratory and Product Inspection businesses. We expect to see growth in China for the remainder of the year. Overall, we continue to focus on execution and capturing more share. That covers my comments, and I want to ask the operator to open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Brandon Couillard from Jefferies.
Sachin Kulkarni - Jefferies LLC, Research Division: This is Sachin in for Brandon. So as gross margins have steadily improved in recent years, what type of initiatives are under way to bolster the productivity of this Service organization? What do you perceive as the incremental opportunity for Service gross margins over the next 2, 3 years?
William P. Donnelly: Okay. So maybe a few comments on what's been going on to date and also what we would expect in the future. So there's a number of different initiatives both on the cost side as well as on the pricing side. And on the pricing side, we are -- as part of our overall pricing program, see the opportunity of good pricing power within Service, particularly on proprietary spare parts. But in general, if we're providing value-added, we can get good pricing benefits. Maybe also on the sales side, we are benefiting from the volume increases, and a lot of that is driven by doing a better job of the point-of-sale selling service and capturing more and more of the Service business via service contracts, which allow us to plan better the service technician. We sometimes refer to reducing the windshield time of the service technicians as a good driver on the productivity side. So on the productivity side, we introduced -- we have invested a lot in IT solutions related to Blue Ocean and otherwise. And those solutions help our service technicians to be more productive, to have higher first-time fixed rates and more standardize the work as well. And then, I would -- in terms of maybe future margin expansion opportunities, I don't have a specific target that I want to give at this point. But if you name -- if you go back to the list that I just gave you, none of them have run out of headroom yet. They're still much like the Spinnaker story. On the sales side, there are many years of operating profit, gross margin expansion opportunities within our Service business.
Operator: Your next question comes from the line of Derik De Bruin of Bank of America.
Derik De Bruin - BofA Merrill Lynch, Research Division: So if -- could you talk a little bit about Russia in the sense that how big a business is that for you? Can you sort of estimate what that drag was on the business?
William P. Donnelly: It's 2% and it's down in the low 20s. So I guess, 40 bps, 45 bps.
Derik De Bruin - BofA Merrill Lynch, Research Division: So you're -- I mean, it's encouraging to hear that you're beefing up the infrastructure with your turbo program in anticipation of growth for next year. I guess, with that in mind, what -- can you give us a little bit teaser in terms what you're thinking or is it still too early in terms to talk about '15?
Olivier A. Filliol: Derik, actually the way we started out early in the year, we did multiple analysis in terms of where we feel we have penetration gaps. We analyzed this, really, by the different product lines and different geographies. Some -- for bigger geographies, we even went within a territory level to looking and sub-segmenting the countries. And then, we overlaid that with the profitability of the different business lines. And that gave us then a priority, which areas we want to invest in the future. And we are currently working with the countries and the different business leaders to develop concrete plans and business cases. And then, we're going to roll that out throughout the next quarters. We, of course, are not going to do everything in Q4. We try to time it. And what we have seen from previous field turbo ways that have been running is, of course, it takes a little bit of time to onboard the people and then really do the thorough training. And we try to accelerate the payback time by supporting the salespeople with a lot of telemarketing activities, specific segment campaigns so that we can feed them with good leads and, in essence, accelerate the pipeline development.
William P. Donnelly: Maybe in terms of I think you're also getting at the guidance question and we'll -- our intention at this point would be to give guidance in the next call. But sitting here today, our expectation is that we'll grow faster in '15 than we did in '14. But there's a lot of economic data and other things for us to digest before giving specific guidance.
Derik De Bruin - BofA Merrill Lynch, Research Division: Right, I guess that's what -- I guess what is -- you're typically a very conservative company. So the fact that you are doing all of these initiatives is encouraging. That's sort of where I was getting at. I guess on that note, I'll get back in the queue.
Operator: Your next question comes from the line of Isaac Ro of Goldman Sachs.
Isaac Ro - Goldman Sachs Group Inc., Research Division: On the Southeast Asia part of the world, wondering if you could maybe put a little more color on what your expectations are on the back half of the year.
William P. Donnelly: Okay, so maybe I give you a feeling from year-to-date basis. We're up low single digits. And the -- as you can maybe imagine, the weakest part is coming from Thailand, although Thailand was certainly better in Q2 than they were on a year-to-date basis. I would say, sorry, better in Q2 than they were in Q1. In terms of the comps for the region, we have a comp last -- in Q3 that will similar to the comp we had this past quarter, but I would, expect, actually, our growth rate to be slightly better. I think the one thing I would highlight is that Southeast Asia has quite a tough comp when it comes to Q4. We grew mid-teens in Q4 last year due to a couple of big orders. But our view is that the trend their overall is improving. I think Olivier would probably have more insight. He'll be there next week, but -- so probably no more next time. But other than this tough comp, we would say that things have bottomed out and are generally moving at a pretty good direction and we're making investments in that part of the world.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Okay, and then just maybe a follow up on the financial side of things. Last quarter, you talked a little bit about the board's decision to raise long-term leverage targets. I know that you had some time to think about investing both in the field turbo and some of the other initiatives, and you mentioned the restructuring on the debt towards the back half. Could you give us a sense of time line to the increased leverage target?
William P. Donnelly: I -- like most things, we'll do it kind of step-by-step. But I think at this stage you could assume absent us surprising ourselves with a bigger than expected acquisition, which I think would be highly unlikely. Maybe add in an extra $100 million or so a year to the base of free cash flow that we already do.
Operator: Your next question comes from the line of Jon Groberg of Macquarie.
Jonathan P. Groberg - Macquarie Research: I think it was mentioned -- sorry, I don't remember if it was Bill or Olivier, but you said you see some improvement in China but don't really see it returning to growth days of the past. Was that just a comment for this year? And I guess I'm trying to think historically, Bill, I think you -- when you kind of laid out kind of the growth scenario for a company like Mettler, it's kind of emerging markets growing at certain rates, then some of the developed markets at slower rates to get your overall growth target. And I'm just wondering is that -- has that model changed at all in your mind? And if so, what other types of things that you're looking at in terms of accelerating the revenue growth?
Olivier A. Filliol: John, I think we definitely see that China will get back to very good growth dynamics, and we talked about the macro trends that are very favorable for us. And we feel that we can outgrow the GDP growth of China. But we all want to be cautious. We have seen many quarters of 20% plus growth for Mettler-Toledo in China in the times where there were huge investments in infrastructure and there was the stimulus money from the Chinese government. And these times will not come back and we don't rely on these kind of times. It's not that we need big stimulus money and big infrastructure projects to have really good growth for us in China. In that sense, we would feel that we're going to see in China a good healthy growth but also a more sustainable growth maybe that we have seen in the last 5 years. When I say sustainable growth, nevertheless, I would recognize that China will remain more volatile than a mature Western market. In terms of timing, we did talk that the second part of the year will gradually get better. Next year should also already get significantly better than this year. And then it will take probably some time that we will see this high-single, low double-digit growth that we expect. But then I really think the growth prospects are very attractive. And being in China this week, and actually I was already here last week, just reconfirmed that there's a lot of things happening here that we don't read in the Western press. And it's been always impressive when you are here and see all the things that the government are driving, new economic zones, then also new industries that they want to develop. And it was great to see how our Chinese team very much aware of that and of shifting all the resourcing to really tap into these opportunities.
Jonathan P. Groberg - Macquarie Research: Okay, that's helpful. And I don't think you had any acquisitions contributing to your organic growth. Is that correct? And if so, kind of where do you stand? You made a similar comment Bill about, well, if you did a big acquisition. But would you hope to do some acquisitions this year, even if smaller? Kind of where do you stand on the M&A front?
Olivier A. Filliol: Our M&A strategy is quite a consistent one. I'm very interested in pursuing acquisition opportunities. We have a thorough process where we constantly, actually, monitor tentative targets. We try to really nurture these targets. And we're actually constantly also talking to companies. And you have seen us doing a couple of acquisitions last few years and expect us to continue to do that. And there are a couple of opportunities that we are reviewing also at this stage. So our commitment is definitely here. What Bill was referring to is these big acquisitions adding another lag to the company also. The acquisitions that we do at this stage are typically ones that are in the range of $20 million to $50 million of revenue. And we can definitely finance these kind of acquisitions with our free cash flow.
Operator: Your next question comes from the line of Tycho Peterson of from JPMorgan.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: I just wanted to follow-up on Derik's original question about some of the reinvestment you're going to be making. I was wondering if you can talk by geography or segment where you see the incremental headcount additions.
Olivier A. Filliol: It's going to really be across the globe. We -- for example, next week, I am in Southeast Asia. We're going to review, in particular, investments in the Philippines but also in Indonesia, but I have also projects that are under review that relates to Service in Europe. We are looking at telesales opportunities out of Poland. I think that just gives you a flavor how broad-based it is. And it's really across the different business lines and geographies. I think that's the approach of the field turbo. We do them -- they are relatively small projects. So when I talk about Philippines, I talk about 2 handfuls of people. When I talk about telesales in Russia, I talk about a handful of people. So -- and these are many smaller projects, but the beauty of it is I always have a strong business leaders that can focus on it and really drive it. And it's not a single big bet on one opportunity.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: And then I guess, as we think about the U.S. market, core industrial, you had a tough comp there, so that was down slightly. But can you talk about some of the gives and takes for the U.S. market in the back half of the year, whether it's an industrial improvement, or maybe the academic market's getting a little bit better?
William P. Donnelly: So we're not as exposed to the academic market maybe as some of the other guys, but our pipette business, which is the one with the biggest exposure, has been doing quite well relative to past periods. It's also got some exposure to government money. And that business has done much better the last couple of quarters than it had in '13 or in '12 and we would expect that to continue. At the high-end instrument side, we're expecting a very good second half, both in our AutoChem product lines as well as some of our analytical instruments. In the Product Inspection area, we'll have an excellent Q3. I think that Q4 maybe has a really tough comp. If I recall correctly, 2013 Q4 had a blowout in the Americas in the food safety area. But that business is rolling very well. On the Industrial side, I think we feel pretty good. It was a little bit hidden in our Industrial numbers in this quarter that it didn't get much project business, for example, like in the T&L area, where you were having big projects with the UPSes, FedExes of the world. That business was actually down quite a bit in North America, but what I would describe as our core standard Industrial products, actually, I think grew mid- or high-single digits in the quarter. So in terms of the second half, maybe absent a tough time here or there, our Americas business looks pretty good. I see no reason it shouldn't grow mid-single digits, maybe a little better.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: Okay and then lastly, Bill, you called out pricing on your gross margin comments. Just anything incrementally -- incremental there to add about your ability to push through pricing increases?
William P. Donnelly: Yes, we -- I'm thinking on of year-to-date basis, we're about a 170 bps or so. No, sorry, I was mixing up material cost. So we're 210 bps. We're actually 240 bps in the quarter. And I would be surprised if that number wasn't a little better in the second half. There are a couple of areas we've been looking at around Service pricing, lab balance pricing. In Europe, in general, we feel like we have good pricing positioning right now, so I think you won't see that or you never know if there's a funny mix or something or a big -- a couple of big projects. But overall, I think you'll see pricing continue to move in a positive direction in the second half. We feel very good about the competitive position of the technology portfolio right now vis-à-vis competition.
Operator: Your next question comes from the line of Paul Knight from Janney Capital Markets.
Paul Richard Knight - Janney Montgomery Scott LLC, Research Division: Could you talk to the Food Retail business? It was down in the June quarter, it appears, versus Q1. And then could you talk to Europe? Was Europe a little lighter than you had even expected?
Olivier A. Filliol: Okay, on Food Retail, I wouldn't read too much in the numbers. It's are very project-driven business. It's a rather lumpy business. But -- and so we're always going to see ups and downs, but I also to remind ourselves that retail for us -- our focus is not on the top line growth. It's actually really focused on operating profit. It's a business that is below the group average when it comes to profitability and so we have really the strategies and the team focused on margin expansion rather than just the top line. And that means also we remain very disciplined in the project business. As you can imagine, this project business [indiscernible] tenders and pricing is always a key, key topic. While we have in all other businesses excellent positions where we can really enforce some price increases, Food Retail is the one where this is the most difficult and, accordingly, we can't be focused really on the top line growth without looking also at this margin topic. So that will be the reason why we are not alerted at all. And we are okay with that performance. To Europe, actually, I'm very pleased about the European numbers. Q2 was actually good. What you need to realize is that Europe was also impacted by, for example, Russia. Russia was down and, in that sense, had an impact on Europe. But it certainly met my expectations. I would say, even modestly up if I took a look at core Europe.
William P. Donnelly: And maybe to add to Olivier's comments, maybe to give you a sense, Paul. The retail business on a 2-year business actually grew. So we had a very easy comp in Q1, had decent growth against it. We had a tougher comp in Q2 and -- but on a 2-year basis, we actually grew little bit faster. And maybe a couple of comments in more detail on the European position. I think the one business that didn't grow as much as we expected in Europe was our Product Inspection business, and that had a lot to do with just more -- we finished the year with more of a quarter with more backlog than we expected. Actually, order growth was just fine in Product Inspection but, reiterating Olivier's point, that the comps do get tougher. I think we grew our lab business about 10% in Q3 last year. So we'll face a tougher comp as we go into the second half.
Operator: Your next question comes from the line of Tim Evans from Wells Fargo.
Timothy C. Evans - Wells Fargo Securities, LLC, Research Division: I was wondering if you could comment on the competitive dynamics in China, particularly with the local competitors over there.
Olivier A. Filliol: So while most of the countries in the world we are facing only a few competitors, we have in China an interesting situation that when it comes to the Industrial division, we face hundreds, if not thousands, of local competitors. These are very small regional players. There are just a few ones that are bigger but then they are typically only competing in very focused business lines. We have been living with that competitive landscape for decades now. And I haven't seen any major changes that alert me. However, we constantly monitor that situation. And we also monitor kind of in which area they experienced growth and at what kind of profitability levels. What we would typically see is that competitors can grow in certain segments like we have seen also in the last 12 months when we walked away from certain deals because of terms and conditions and payments, particular payment terms. These businesses were picked up by competitors but we were then picking it up because, honestly, the projects were just not attractive. And in that sense, we live with it. But strategically, I don't see that any competitor here are making moves that are jeopardizing our position. These were a few comments on Industrial side. If I go to Lab, the situation is actually different. We have mainly global players that compete with us. The local players are competing in a totally different league in terms of quality, but also price. But customers would clearly differentiate that and in my update last week that I got from the local lab team, I was actually too pleased to see that the local Chinese competitors for different product categories, I would say, rather got weaker than stronger in the last 2, 3 years. So we feel actually comfortable with that competitive landscape.
Operator: Your next question comes from the line of Richard Eastman of Robert W. Baird.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Just a couple things. Bill, you had identified price capture in the quarter. And I'm a bit curious, is that pertain -- is it skewed at all on the hardware versus the Service and Consumables side? I mean, is 1 of 5 and the other of 0? Or are you capturing any price in the hardware?
William P. Donnelly: Definitely capturing price in the hardware. I would be surprised if the differences were more than 50 bps.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay, okay. And then, also, Olivier, could you provide maybe -- again, just to double-back to China again. But with lab plus double digits in China, I'm curious, are there any of the product lines that are definitely kind of leading? I mean, is Balances or AutoChem? I mean, what's the -- what's your product position within China in the lab market?
Olivier A. Filliol: So when we talked about double-digit, we meant core lab. The core lab is really basic Balances, Analytical Instruments. We actually -- Pipette did also well. So it's these product categories -- actually, if I recall well, Automated Chemistry did also well. So actually, really, our whole core lab portfolio did well. I think that reflects that we are serving here a different customer base than the Industrial division. It reflects also this macro trend that we are benefiting from like the number of scientists joining the workforce. This trends to with more quality control. And then, also the move in more value-added industries. And I would also say that Lab in general is earlier in the cycle than the Industrial products. So for me, seeing this core lab growing double-digit is an early indicator that things should get better.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Is there a -- an emerging Service market for you there or is that still in its infancy as well?
Olivier A. Filliol: So the Service market and also our Service revenue is actually developing well. I'm very happy about the growth rates, but it's coming from a low base. Your statement that it's in an early phase is fair. This -- it's a little bit to be differentiated by different product -- business lines and service types. We have, for example, in China a situation where the government still provides calibration services themselves. And so it's a situation where that is kind of a delicate we don't want to compete and call it compete with the government for money calibration services. But that's a market that will open up in the future and, in essence, still offers great opportunities. There are other product lines and -- where we can offer our full service capability. If I -- for example, in the Automated Chemistry area or in the Product Inspection area as well, where calibration is not so important, then we can offer our full service offering, and that's certainly something we're focused on and will further leverage in the coming years.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: I'm a little bit curious again -- staying with China for a second, but I'm a little curious. Your Product Inspection business again was plus double digits and I know your business isn't lab-oriented. It's more production-line oriented, but again, we've heard so much during the first 6 months of the year about just regulatory schemes on the food service side and some compliance issues and kind of a reorder of food safety administration. But again, that all pertains more to the lab than it does to the production side. Is that a fair comment?
Olivier A. Filliol: Regulations. to a far degree, yes. But the awareness is really huge about all food safety topics. And I heard so many examples of retailers in China, Walmart, but also local Chinese companies that are increasing the pressure on their suppliers that they really enforced good food safety practices. And we often also invited to seminars and trainings that these retailers provide to their suppliers, and we can raise the awareness for physical contamination that can be prevented through our metal detectors, X-ray systems. And we certainly also see that the big brands, food-producing brands, are taking actions to protect themselves through better product inspection solutions. So demand is good. The awareness is good for our solutions, but I would also state that while Product Inspection on a global scale is about 16% of our revenue, in China, it's still significantly lower. It's more like the 5%-ish. And so there is a way to go for us to reach the same penetration levels as we have in the West. And that's why I always refer to the fact that China offers not just growth in line with the GDP but, actually, offers additional growth because there are product categories that are still underpenetrated.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: I see. Okay. Very good. And then just one last question, Bill, given where you are in the buyback year-to-date through June, anything changed in terms of the targeted dollar amount that you'd like to put to work by the end of the year?
William P. Donnelly: No, same as we talked about last quarter, which...
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Of that towards $400 million?
William P. Donnelly: Yes, about $400 million.
Operator: Your next question comes from the line of Dan Arias of Citigroup.
Daniel Anthony Arias - Citigroup Inc, Research Division: Bill or Olivier, on the Service side, you guys mentioned trying to bring of the installed base under contract. So just curious where that percentage stands at this point. I think it was 20% or so the last time we talked about it. So has that inched up at all at this point?
William P. Donnelly: So I think, first, it would probably have to be maybe more narrowly defined like, for example, maybe our laboratory instruments might be closer to that level. But if you look at our business in total, we wouldn't yet be at that rate. The fact that our Service business grew 7% or so, if I recall, is -- and our product business of course, if you do the math, grew less than that, is a reflection that that's increasing. But of course our installed base might average high-single-digits numbers of years. If you take everything, it's a small move in terms of percentage terms. But I think both of us feel that there's -- continues to be good mid- to high-single-digit growth opportunities in service for many years to come.
Olivier A. Filliol: I think the interesting part here is that the attachment rate of service differs highly country-by-country. We just talked about China before, where the penetration and attachment rates is significantly lower than in the West. But also within the West, within Europe, we see big differences. And one of the key measures that we are following is really looking at these penetration rates country-by-country, understanding why we have differences and developing plans with the local country management, how we can increase these penetrations. When we were referring to field turbos before, that's, for example, an area where we're also leveraging this field turbo, for example, doing more telesales of service products to attach the attachment rates to the installed base of recent years.
Daniel Anthony Arias - Citigroup Inc, Research Division: And then just quickly, Bill, not sure if I missed it, but did you give the order number for China?
William P. Donnelly: Orders were in line with sales. I think backlog's almost perfectly flat with last year in China.
Operator: Your next question comes from the line of Steve Willoughby of Cleveland Research Company.
Steve Willoughby - Cleveland Research Company: A couple of things for you. First, raw materials. How much were they benefit in the quarter, Bill?
William P. Donnelly: So raw material costs were down about 2%. Of course that's not all a cost of sales. Just to give you a feeling, it's -- on an annualized basis, that's 2% down and maybe $450 million or so.
Steve Willoughby - Cleveland Research Company: Okay, and then, just backlog in general, did you build backlog across the business in total at all?
William P. Donnelly: I think, we're modestly up. Mixed buys have changed with -- I made a reference to, I think, specific to Europe, but in general, Product Inspection grew backlog quite a bit.
Steve Willoughby - Cleveland Research Company: And then just, my final thing is given the past 4 quarters, you've put up pretty good growth in Europe. When you look out going forward, is mid-single-digit growth in Europe still possible? Or is it may be more in like the low single-digit to mid-single-digit range do you think?
William P. Donnelly: I think if we look -- let's talk like a 5-year window, we would say, hey, if Europe grows 3% to 4%, that would be well in line with our overall group targets. If it mid- -- if it grew 5%, we'd be doing better than we would expect.
Steve Willoughby - Cleveland Research Company: And then if I could squeeze one more in for Olivier. Olivier, you made a comment regarding some things you've seen in China that we may not have seen in the Western press so far that you thought were interesting or exciting. Just wonder if you could elaborate on that at all.
Olivier A. Filliol: It starts that when you are here in Shanghai, as well as Jiangsu, you feel that the economy is actually still quite healthy. You see activity. You see new things happening, investments happening. The second thing that I felt really good about is -- from the Chinese team is, you see that there is still also greenfield activities. Maybe less than in the recent past and certainly not yet back to normal, but there is still investments in new production sites. There is also new developments of regions and cities where the government is actually really proactively investing in the future. There are new infrastructure being funded by the government because they want to develop and promote new industrial zones, and some of them are actually really big and promising. These are things that at least I don't hear too much in the European press about. And it gives you a different perspective when you were here and you have the Chinese team showing the different opportunities that are around.
William P. Donnelly: Maybe one other anecdotal one. Sometimes we hear in the press about these empty cities, and I'm sure there are still some there, but in the train ride from Shanghai to Jiangsu now, what was once some empty cities there are now full. And that's over the last couple of years. So it's always better to be here. It's a naturally optimistic place, but I agree with Olivier there. There are maybe more positive signs when you're here on the ground than sometimes what you hear in the news, and I think we saw some good, was it, MPI [ph] numbers or something about this morning. So I feel it was a good sign.
Olivier A. Filliol: Or to give you a fun one, we inaugurated our new plant in Jiangsu 7 years ago. And at the inauguration, we planted trees. And the trees are growing in the side, but on the opposite side of the trees, there was a farmland. And in the meantime, they are starting to build new residential buildings, huge buildings. and I was here, it was more or less last year, and within a year, you see the building coming up. And it's so much faster than the trees are growing. It's actually unbelievable how fast things are still happening here. And of course when you see them being built, they look totally empty. But I picked up actually from my management team that different of our employees have actually bought one of the other things there. And so it seems to be real and, yes, it feels good when you see that.
Operator: [Operator Instructions] Your next question comes from the line of Sung Ji Nam with Cantor.
Sung Ji Nam - Cantor Fitzgerald & Co., Research Division: So, Olivier, I was wondering, your lab products and AutoChem and Product Inspection businesses are still kind of growing at a high rate and for -- in the developed countries in North America and in Europe, are there opportunities for further market expansion? Or is the growth largely coming from taking share from your competitors?
Olivier A. Filliol: No, actually, I would really say both. I differentiate here maybe by product categories. If I talk about Automated Chemistry, it's definitely not just market share gains. This is about developing also new opportunities and new markets. The lab of the future that referred in my prepared remarks is a classic one. This is not winning against competition. This is actually working together with our customers for new solutions to their problems. So that's really developing the markets. In Product Inspection, we have, in particular, one product category and that's X-ray where the market is still developing. This is not yet a matured market and one that we are just replacing installed base. Not at all actually. It's very much about convincing customers that this is the right technology to deduct more physical contamination that they can do with metal injection. When you think about core labs, if I take, for example, a balance, the balance in the West is more a replacement business. And when it's a replacement business, when we are growing faster than the market, of course, it is about gaining market share.
Sung Ji Nam - Cantor Fitzgerald & Co., Research Division: And then more specifically for your Pipette business, you talked about a lot of innovations there and I believe this is an area where you're still #2 in the marketplace. I was wondering if you are gaining any traction in terms of taking share from your #1 competitor there.
Olivier A. Filliol: So in the Pipette business, our market position differs very much by geography. Actually in U.S., we have an excellent market position. And when we look towards Europe and Asia, we are clearly not the #1, and there are even regions where we are a #3, #4 player. So our emphasis in terms of gaining market share is, of course, in these underpenetrated markets. Now for Pipettes, this is something that doesn't happen overnight. Even if we have superior product, it's a lot of fieldwork convincing customers and converting whole accounts. The Service business plays also an important role in providing a total solution to the customer. So a lot of room for market share gain but, again, this is significant work and the product alone will unfortunately not just make the difference.
Sung Ji Nam - Cantor Fitzgerald & Co., Research Division: Got it. And then, Bill, just quickly, when you talk about making incremental investments in anticipation of accelerated growth next year, is this a second half event or will this continue into next year as well?
William P. Donnelly: I think Olivier made the point that it's we have an overall plan of investments that we can make. We're not making them all beginning in the fourth quarter. I think we want to make some beginning here in the third quarter, but a good number in the fourth quarter and then we're going to see how the market plays out a bit. But there are -- I think we -- I think there's maybe 2 comments to it. One is -- or 2 takeaways. One is that we do think '15 can be a better growth year than '14, that we see specific growth opportunities that we think are worth investing in and the ideas go beyond just the short term in terms of what we could absorb investment-wise.
Operator: There are no further questions at this time. I would now like to turn our presentation over to your hostess, Ms. Mary Finnegan.
Mary T. Finnegan: Thanks, Pete, and thanks, everyone, for joining us today. As always, we're available for questions. Of course, we are here in China. And just given the time difference and to make sure that we can be responsive to your questions, it might work best if you e-mail me any questions, and then we're happy to shoot an e-mail back or give you guys -- or we'll call you back. I think you know my e-mail, but in case you don't, mary.finnegan@mt.com. Take care everyone. Thanks. Bye-bye.
William P. Donnelly: Good day. Thank you very much.
Olivier A. Filliol: Bye-bye.
Operator: That concludes today's call. You may now disconnect.